Operator: Good day, ladies and gentlemen and welcome to the Roku’s Second Quarter 2019 Financial Results Conference Call. [Operator Instructions] Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I’d now like to introduce your host for today’s conference, Tricia Mifsud, Vice President of Communications. Ma’am, please go ahead.
Tricia Mifsud: Thank you. Good afternoon and welcome to Roku’s financial results conference call for the second quarter ended June 30, 2019. I am pleased to be joined on the call today with Anthony Wood, Roku’s Founder and CEO; Steve Louden, our CFO; and Scott Rosenberg, GM of our Platform Business, who will be available for Q&A. Full details of our results and additional management commentary are available in our shareholder letter, which can be found on the Investor Relations section of our website at ir.roku.com. The following discussion including responses to your questions reflects management’s views as of today, August 7, 2019 only and we do not undertake any obligation to update or revise this information. Some of the statements made on today’s call are forward-looking and are based on our current expectations, forecasts and assumptions and involve risks and uncertainties. These statements include, but are not limited to statements regarding the future performance of Roku, including expected financial results for the third quarter and full year of 2019 and the future growth in our business. Our actual results may differ materially from those discussed on this call for a variety of reasons. Please refer to today’s shareholder letter and the company’s periodic filings with the SEC for information about factors which could cause our actual results to differ materially from these forward-looking statements. You will find reconciliations of non-GAAP measures to the most comparable measures discussed today in our shareholder letter, which is posted on our Investor Relations website at ir.roku.com. And I encourage you to periodically visit our IR website for important content. Finally, unless otherwise stated all comparisons on this call will be against our results for the comparable period of 2018. Now, I would like to hand the call over to Anthony.
Anthony Wood: Thank you, Tricia and thanks everyone for joining today’s call. Our second quarter and first half results show the great progress we are making. I am particularly pleased we passed two significant milestones. The first is that active accounts exceeded $30 million. We reached 1 in 5 U.S. households and our domestic scale rivals the biggest MVPDs. The second is that ARPU was above $20 on a trailing 12-month basis. ARPU has expanded 88% in the 2 years since we went public. Achievements like these show our strategy is working and our execution is strong. Q2 financial results also exceeded our expectations. We had the highest Q2 growth rate since going public and we are raising our outlook for the full year. Strong performance allows us to continue to reinvest incremental gross profit in ways that extend our strategic advantages and build even greater preference for Roku among consumers, content publishers, OEMs, and advertisers. Before handing the call over to Steve, I would like to draw your attention to a distinguishing characteristic of our ad business. There was a growing understanding that having first-party customer relationships at scale is a fundamental advantage. Our ad business is thriving as we offer a superior solution providing precision targeting, access to premium inventory, unique sponsorships, and OTT reach that an individual publisher of third-party ad tech provider cannot match. The Roku OS was built to create value for advertisers and content distributors. We are proud of the value we deliver for their business. I will now turn it over to Steve.
Steve Louden: Thanks, Anthony. We delivered exceptionally strong results this quarter in both the platform and player segments. Before taking your questions, I will walk through financial highlights and address our outlook. Please see our shareholder letter for the full financial details from the quarter. Overall revenue growth accelerated to 59% year-over-year, the highest level since Roku went public in 2017 as both platform and player segments outperformed expectations. Platform revenue growth of 86% year-over-year increased sequentially from 79% year-over-year last quarter. This was driven by increases in the estimated value of content distribution agreements based on improved visibility and performance trends, which resulted in a larger-than-expected recognition of revenue in the quarter. As a reminder, revenue recognition of our content distribution agreements can be lumpy quarter-to-quarter. In addition, robust growth in advertising continued as Roku monetized video ad impressions once again more than double year-over-year, and we expect that trend to continue throughout 2019. The player revenue growth rate of 24% year-over-year increased sequentially from 18% year-over-year last quarter driven by strong core retail channel sales growth. Player units were up 36% year-over-year and ASPs were down 10% as we continued to optimize for account growth. Total gross profit of $114 million was up 47% year-over-year as reported. Excluding the $8.9 million benefit in Q2 2018 from a release of accruals related to potential IP licensing liabilities that did not materialize, total gross profit would have grown 66% year-over-year, which is faster than the revenue growth rate. As anticipated, overall gross margin declined sequentially from 48.8% to 45.7% due to the continued mix shift to video advertising, the introduction of premium subscriptions, and our strategy of driving down player ASPs. OpEx in the quarter grew 60% year-over-year to $125 million driven by a 33% growth in headcount and higher stock-based compensation. Excluding stock-based comp, OpEx was up 46% year-over-year, which was well below our revenue and gross profit growth rates. Our strong revenue and gross profit performance allowed us to deliver a better than expected adjusted EBITDA of $11 million in Q2. We ended the quarter with $387 million in cash, cash equivalents, restricted cash, and short-term investments, which included net proceeds of $81 million from the sale of Class A common stock in an at-the-market offering transaction during the quarter. With that, let’s turn to our outlook for the full year. Please note that our outlook does not include the impact if any of new tariffs that maybe imposed on foreign sourced goods as there are still too many uncertainties related to the timing, scope, and level of potential near-term changes in this area. We along with our partners are taking steps to mitigate potential adverse impacts. Based on strong first half results and momentum in the second half, we are raising our 2019 revenue outlook to $1.085 billion at the midpoint, representing roughly 46% year-over-year growth, up from 40% year-over-year growth in our prior outlook. We expect platform revenue to represent roughly two-thirds of total revenue. We are raising our total gross profit outlook to $485 million at the midpoint, up from $470 million previously. For modeling purposes, you should continue to model full-year platform gross margins in the low 60s as a percentage of revenue driven by the continued mix shift to video advertising and the ramp up of premium subscription as the year progresses. We expect player gross margins to be in the low-single digits for 2019. And similar to last year, we expect player gross margin to be the lowest in Q4. As a reminder, we are not optimizing for player gross profit as our strategy of trading player margin for account growth and platform revenue growth continues to work well. Our strategy is to reinvest incremental gross profit in our business to further strengthen our competitive advantages and growth drivers. Given our performance in the first half, we are raising our full year adjusted EBITDA outlook to a range of $30 million to $40 million. We anticipate sequential increases in operating expenses from our continued investments in talent, product development, and sales and marketing efforts as well as the impact of increased facility costs. The stock-based comp estimate for 2019 has increased to roughly $90 million from $75 million in the prior outlook, largely due to higher stock price and additional equity refresh grants. Depreciation and amortization and other net income of $10 million are reflected in our outlook for roughly $66 million of net income loss in 2019. Our Q3 outlook calls for 46% year-over-year revenue growth to $252.5 million at the midpoint and 47% year-over-year gross profit growth to $116.5 million. We anticipate a particularly large sequential increase in operating expenses in Q3 primarily due to increased headcount related costs, facility costs, and timing of expenses shifting from Q2. As a result, we expect our adjusted EBITDA loss to be roughly $8 million in Q3 at the midpoint and a net income loss of roughly $37 million, which includes stock-based comp of $26 million and $3 million of depreciation and amortization and other net income in the quarter. I will summarize by saying how pleased we are with the performance of the business in the first half of the year and with the strong momentum we possess going into the second half. With that, let’s turn it over for your questions. Operator? 
Operator: [Operator Instructions] Our first question comes from the line of Thomas Forte with D.A. Davidson. Your line is now open.
Thomas Forte: Great. So for my first question, I want to talk about for the OTT advertising market, I wanted to know if you thought if the increased focus on privacy including at the regulatory level was going to at all have a negative impact on advertising spending for OTT?
Scott Rosenberg: Hey, Tom. Scott Rosenberg here. Great question. As you know, on balance, we of course take privacy very seriously as a company, but we have a first-party direct relationship with our consumers and it puts us in a unique position as a platform to both explain to consumers how the data is used and to control it, and I would just contrast that against third-party entities, intermediaries who don’t have that direct consumer relationship and who are going to be more challenged to articulate and justify the uses of data. So, on balance of course, we take it very seriously, but feel that as a platform with a first-party consumer relationship, we are uniquely positioned.
Thomas Forte: Great. And then for my follow-up question I wanted you to give I guess a sense kind of if you thought this was may be a 3-year potential, 5-year potential, 10-year potential. So, as a long time follower of the industry for an extended period of time, there was a large disconnect between mobile usage and mobile digital ad spend as a percent of total spend. You see it today and over the top, so when do you think you will see more parity between usage and percent of advertising spent for OTT? Thanks.
Scott Rosenberg: Good question. I think that we are still in the early stages of the secular shift, the consumer TV habit moving to OTT, and that move is very fast. You can see it in the growth of streaming hours on our platform. So, I do think it will take more than 3 years to play out. That said, we are making great progress as shown by our revenue growth, our ARPU growth, and it really owes to progress in our ad products, measurement, proof points that they work attracting TV ad dollars, as well as progress on the content distribution side of our business through things like Roku Pay. At the end of the day for us, this really is going to come down to proving to advertisers and content providers that Roku delivers incremental substantial reach over traditional linear TV, and we are more effective at both the ad products we deliver and at helping content companies acquire subscribers.
Thomas Forte: Thank you. Thanks for taking my questions.
Operator: Our next question comes from Mark Mahaney with RBC Capital Markets. Your line is now open.
Unidentified Analyst: Great, thank you. This is Shwetha for Mark. Two questions please. The first one is on content distribution. Steve, could you please elaborate on the comment of increase in estimated value of content distribution agreements based on the improved visibility and performance trends which led to strong performance in platform revenue as one of the reasons. Could you please talk a little bit more about that, what do you mean by that? And then the second is on the Roku Channel. Last quarter you said over 10,000 movies and shows over two dozens of live channels and over 30 subscription services. So my question is what is the team focused on most, is it growing the content, ad inventory availability, product improvements, and you touched on machine learning and personalization, and how are viewers spending their time on the Roku Channel when you compare ad supported content, which grew really well that you noted in your shareholder letter versus the subscription channels? Thank you.
Steve Louden: Yes. Hi, this is Steve. I will take the first question on the content distribution agreement. Yes, just as a reminder, each quarter we value the major agreements that we have – there are multiple element agreements and we have few models where we have certain assumptions related to those, and we are evaluating the whole deal value, say in a 2 or 3-year deal. As a result, to the extent that we have positive performance trends and we have confidence that we have visibility into those potentially continuing that will increase the value of the deal over time and when the deal value increases then that incremental revenue is recognized in that quarter, which can lead to a comment we also made where on a quarter-to-quarter basis those revenues related to content distribution agreements can be lumpy. And so that was the situation we had this quarter, and so we had greater-than-expected revenue recognition in there and the deal value in some of our deals went up, which is a great trend, but again can be lumpy quarter-to-quarter in terms of how it gets recognized.
Unidentified Analyst: Steve, just a quick one, can you quantify that please?
Steve Louden: We haven’t given a specific value on that, but it was definitely a contributing factor to the acceleration sequentially in the platform revenue growth rate.
Anthony Wood: This is Anthony. I will take the question on the Roku Channel. So, I would say overall the Roku Channel is doing great. It’s working well. Our strategy with the Roku Channel it has – is in place, and the Roku Channel usage is playing out the way we expected. It’s a great experience for our customers. It’s a great way for content publishers to increase distribution in our content or more effectively distribute their content. And it’s a great advertiser experience as well. So, those three things together creates this virtuous cycle that just drives more and more engagement in the Roku Channel network we are seeing. With the top 5 channels on the platform, you mentioned premium subscriptions. We have AVOD, we have premium subscriptions. We have live content. Just like, for example, I used Roku Channel last week, I went in and watched an episode of Chernobyl on HBO, and then I thought that Die Hard was there. So, I ended up watching Die Hard as well. So, it’s very complementary. People come in for one reason and maybe end up watching something else. So, the strategy is working well for us. We are very happy with the Roku Channel.
Unidentified Analyst: Thank you, Anthony. Thank you, Steve.
Operator: Our next question comes from Laura Martin with Needham. Your line is now open.
Laura Martin: Hey guys. Can you hear me okay?
Anthony Wood: Yes, Laura.
Laura Martin: Great. These are excellent numbers. These are awesome and I love the EBITDA guidance upwards, Roku could not be more excited about that $40 million. So Anthony for you, what I am really interested in learning is when you go into a new market like I think you guys have announced Brazil. Are there like operating systems you have to displace, because you are getting there later than when you went to China 6 years ago or are you able to go into sort of where again it was owner operator and you are going to go in and save these guys a ton of money. So I am wondering about sort of the pace, I know you have a roadmap from the U.S., but the pace of international rollout is it harder than the U.S. or is it easier, because you know exactly what you are doing and you are just going to bring our cost down? That’s the first one. Steve for you rev rec on like Disney Plus, right Disney did earnings yesterday. My understanding of rev rec to tell me if this is wrong is, if you sell a Disney subscription, Roku controls the consumer name, you recognize the $7, you hold on your distribution and you payout whatever the $5 or $5.50 to Disney. Is that the rev rec? And then my last thing is somebody needs to ask about these China tariffs and whether if these tariffs, I don’t know the tariffs, but if these tariffs go through, because they are on the list, how does that affect your business?
Anthony Wood: Hey, Laura. This is Anthony. I will start, I will take the question on international and tariff. So on international, it’s a big opportunity. Obviously, it’s 1 billion plus TVs around the world. Regarding your question of is it the other incumbents we have to displace, in general, I would say international is still wide open. There is no leader yet in international and license operating systems like Roku has not really made a lot of – has not really started focusing on international in a big way yet. So the big opportunity is wide open. Obviously, we have been super successful in the United States and our lead is growing there and we’re number one. We think that the – I believe that the technology we developed, the skills we have, our strategy applies directly to international. So we think we will be successful there. But we actually haven’t announced any countries, I think you mentioned Brazil. We haven’t mentioned anything about Brazil officially. And what I would say is that, we’re not ready to reveal our plans for international yet, it’s still a bit early. I would say that I personally am spending more time on international and so, for example, I’ll be giving a keynote on EFA later this year. Now on tariff, tariffs are something that there is still a lot of variables around and – but I’ll try and provide some color to what we expect from tariffs. So in general tariffs might impact our future results. Depending on their exact timing scope, rate, another variable. We are of course taking steps to mitigate any potential impact of tariffs, as well as our partners are doing the same. For example, we’re looking at relocating manufacturing over time. But I think the big picture on tariff is just that regardless of what happens with tariffs in the short term, it doesn’t affect the size of our opportunity or our strategy or our execution and is still – there is still a huge opportunity in the streaming business.
Steve Louden: Hey, Laura.
Laura Martin: Perfect. Thank you.
Steve Louden: Let me hit the rev rec question. So without talking about any particular deal, there are two types of ways to recognize the revenue, if it’s in the subscription services app and it’s part of a multi-element content distribution deal then the subscription rev share there would be a net treatment. So we would just recognize the portion of that monthly fee that we get in terms of our revenue share. And that’s traditionally how we’ve done it and it’s consistent with part of the content distribution revenue recognition and that can be lumpy over time, because we don’t recognize that as it’s incurred, it’s part of the deal value and your expectations on the deal value can change quarter-to-quarter. I will contrast that by saying in general the premium subscription business, which we have within the Roku Channel, so if a SVOD service was part of that and we have 40 plus premium subscription partners within the Roku Channel then because we’re effectively the wholesaler there, then we recognize that on a gross revenue basis, say the total monthly consumer cost of that is revenue and then the COGS are what we pay back to the content owner. So that’s a gross revenue treatment versus the net revenue treatment before, both are good models in terms of driving incremental gross profit for Roku but they’re treated very differently.
Laura Martin: Super, helpful. Thank you very much.
Anthony Wood: Sure.
Operator: Our next question comes from Vasily Karasyov with Cannonball Research. Your line is now open.
Vasily Karasyov: Thank you. Good afternoon. I wanted to ask you about advertising pricing and CPM. Every quarter you call out the improved monetization but it seems from your language that pricing seems to stay stable and I think around a couple of years ago, you mentioned that your CPM is slightly over $30. So my question is – two part is it true to infer that your CPM hasn’t changed much through this really strong advertising revenue growth, and even though you list all the data and a targeting capability improvement. So my question is why do you choose to keep it where it is and do you have pressure from your publishers because your rev share 50% back to them. And then do you think – you’re thinking about how your advertising will change with Fire TV given that they charge publishers 10% for advertising and they have – they said they will open to third party demand, at least the trade desk. So if you could tell me how you are thinking about that and what we should expect? I would really appreciate that. Thank you.
Scott Rosenberg: Hey, Vasily. Scott here. We do continue to command premium CPMs, it’s a function of it being a great product that prudently performs better than the alternatives more so though than the top line CPM, more focused on dragging net more demand out of the TV ecosystem into OTT, by showing TV advertisers that they can buy not just using traditional currencies like Nielsen digital ad ratings but also buying on much more granular targeting characteristics, interactivity, better ways of measuring that advertising and OTT drive in store purchases, for example. So we continue to drive great pricing but we’re much more focused on the larger prize in our view, which is attracting TV ad dollars generally. With regards to your question about third party demand and activity and I’m not sure I fully filed followed the question in the Fire ecosystem. As you may know Roku for years now has been an open IIB based, standards based ecosystem. We implemented the Roku ad framework years ago, made it available to publishers, as well as to our own media sales team. There are over 40 DSPs that are connected into the Roku ecosystem. We work in our own media sales with many of the biggest DSPs in the ecosystem. We think operating an open ecosystem, a data driven ecosystem is essential to the success of OTT advertising and are highly committed to it and we think that the numbers demonstrate the attractiveness of our offering to advertisers.
Vasily Karasyov: Alright. Thank you very much.
Operator: Our next question comes from Jason Helfstein with Oppenheimer. Your line is now open.
Jason Helfstein: Thanks. Two questions. The guidance implies strong but slowing fourth quarter platform revenue. Given that Disney did not mention Roku on their earnings, I think they listed Apple, Amazon and Google as far as initial launch partners, should we assume that there is no impact yet from Disney plus or ESPN plus on the full-year guidance. And then the second question – and this has been coming up [indiscernible] clients, it would seem logical that over time you would pay some type of revenue share to TCL? Could you talk about the puts and takes of that relationship, and for example, would you agree to pay them a rev share if they’re willing to support you more broadly on an international rollout in Europe and Latin America? Thanks.
Steve Louden: Hey Jason, it’s Steve. I’ll take the first question on the outlook. Yes, We’re really pleased with the performance of the platform business. I think Q2 was an exceptional quarter both in terms of player and platform segments exceeding the expectations. And certainly I talked about in another answer earlier about the lumpiness that can occur based on the rev rec. And that was a contributing factor to the acceleration we saw sequentially in platform revenue in Q2. So we have increased our guidance over time, but a lot of it has to do with the relative quarter-to-quarter based on the the lumpiness and the confidence we have in some of the business trends quarter to quarter. Just a reminder, we’re growing very rapidly. The market is evolving very quickly. It’s impossible to accurately predict these things at this scale, but we feel better about where the business is at versus our prior outlook. So we have raised the expectations for the back half of the year.
Anthony Wood: This is Anthony. I’ll take the question on TV OEMs. So you know the Roku TV program is going well. I mean it continues to be very successful for us. One in three smart TVs sold in the US are Roku TVs. It’s great to see our OEM partners taking market share, but I would say to answer your question we bring a lot of value to our TV OEMs across a lot of dimensions. We provide a very low cost hardware platform. We have what we believe is the best software in the industry. We provide a lot of content relationships. We actually help market the products, we help retail, and there’s lots of other ways we help them as well. So we consider a good partnership with our OEMs and we’re very valuable to them. I would say in terms of the specific to the commercial deal that’s just not something that we don’t comment on commercial term.
Jason Helfstein: Alright. Thanks. Very helpful.
Operator: Our next question comes from Ben Swinburne with Morgan Stanley. Your line is now open.
Ben Swinburne: Hey, good afternoon. Scott, one of the things I was curious about is how much time or emphasis Roku places on things like buffering and ad completion and sort of ad product innovation from an advertiser perspective. I asked because in the OTT world you do get sort of drop off at certain points in the advertising and I’m wondering if you think the 30 second spot is still the right product for OTT or if that needs to get shorter. And how much do you think Roku is differentiated in the eyes of advertisers around how quickly ads load and how – what percentage of those are complete, some of those sort of blocking and tackling things that are starting to matter more and more to advertisers? And then I just had a follow up.
Scott Rosenberg: Yes, it’s a huge part of our focus actually. It’s a big part of why we got into the ad business in the first place. It was not simply the revenue opportunity, but the chance to deliver a better ad product for marketers and a better ad experience for consumers. That’s about the quality ad buffering completion rates and also new formats interactivity, new sponsorship brand integration opportunities. There’s just so much opportunity in this space to create new touch points for marketers. With the new TV viewer, we are very heavily invested in not just the consumer ad experience, but all the back-end behind it. The targeting the measurement proving that OTT ads can drive true incremental lift in terms of site visitation, product purchase, retailer visitation. So it’s a huge push for us and we do think it’s a big part of our success.
Ben Swinburne: Great. And then – sorry, go ahead Anthony.
Anthony Wood: I was just going to say that we consider the ad experience part of the Roku platform and there’s a lot of effort in the Roku platform towards things like performance and customer satisfaction.
Ben Swinburne: Makes sense. Just a follow-up over on a different topic, I think historically you guys have generated higher engagement and higher ARPU on active accounts that use your players versus the smart TV OS Roku powered active account. I guess is that still the case or is that gap narrowing? I’m just wondering as you’re active account mix shifts more and more towards TVs over time versus players if that has any impact on it or if its actually there is some sort of kind of mean reversion going on?
Anthony Wood: This is Anthony. I’m not sure about the mean reversion. But I would say it’s more complicated than just players versus TV, there is a lot of factors to drive engagement, everything from the retailer, the devices sold through to the size of the screen to the model of the player. So those are all things that we’re monitoring and – but in general those are the things we monitor and we optimize and we use when we determine campaigns and so forth. But overall, all our devices have excellent engagement. 3.5 hours a day on average and growing. And I would say TVs no matter exactly what the specifics of the engagement are but they’re in a more strategic position to be in the players, players sales are obviously very important to us and growing nicely up 36% in terms of units in the quarter. But with the TV where the primary user experience for that TV experience, for a player we’re not on device. So we obviously sell both, but we view TVs as more strategic.
Ben Swinburne: Yes. Makes sense. Thank you.
Operator: Our next question comes from Matthew Thornton with SunTrust. Your line is now open.
Matthew Thornton: Hey, good afternoon. Thanks for taking the question guys. A couple of quick ones if I could. I guess, first, you guys talked a little bit about just the programmatic channel in the press release. Any update you can give us on just how that breaks out these days? In terms of programmatic direct versus private marketplace versus kind of open exchange without which I assume is very small, but any color just the mix would be helpful. And then just secondly two accounting questions, coming back to the deal rev rec, when you are working with in SVOD or virtual MVPD and they raise their price or change their own economics. Can you talk about how that impacts you – are you getting a flat fee per sub. Are you getting a percentage of subscription revenue? Any color on how that changes? And then similarly on the remote buttons every time you sell a player or TV, you’ve got the remote buttons that content producers can bid for. Is that a one-time rev rec upfront when the device is sold, just trying to refresh my memory there? Thanks guys.
Scott Rosenberg: Hey, Matt. I’ll take your question on programmatic. This is Scott. We continue to be very invested in programmatic as a sales channel. It is not the majority of sales for us today, and that’s a function of the fact that most of dollars flowing into OTT advertising today are coming out of TV budgets. But we’re here to trade with advertisers and help them by the way they want to buy, we’re big believers in programmatic and automation more generally. We’ve got a great stack to support programmatic buyers, and in particular we think our programmatic offering is uniquely situated in terms of the premium broad reach that it can deliver as well as the premium targeting, the advanced proprietary targeting available because of the data that we have as a platform. Programmatic is growing significantly faster than our already fast growing ad business. So as a sales channel, it’s an important one for us.
Steve Louden: Yes, I’ll take the deal rev rec question. So as I talked about earlier in these content distribution agreements we have multiple elements, so those could include if you’re an SVOD service a rev share on the subscribers that we sign up for. So it’s not a bounty. The standard model is the rev share that comes in over time in terms of how we make money. The accounting is a little different though, because what we do is we look at the total value of the deal, let’s say, we signed a 2-year deal, we are making estimates of how many subscribers we might sign up for that as SVOD service or virtual MVPD. If they have some requirements on spending on our audience development toolkit which could be things like buttons, it could be display, minimum guarantees on display ad spending, etc, then that goes into the mix as well if we’re getting advertising access and that can be part of it. So we value the entire deal and there is expectation around how many subs we might sign up or other factors. And so it’s not recognized upfront, it’s recognized when the value of the deal changes and when we meet certain performance obligations in the deal. So it’s not directly tied to the underlying business – business occurrence, if you will and that’s why it can be lumpy over time and can change each quarter as we revalue these assumptions for each of these major deal.
Operator: Our next question comes from Michael Morris with Guggenheim. Your line is now open.
Michael Morris: Thank you. Good afternoon, guys. Two questions or two topics if I can. First on audience development and the opportunity there, it seems that there are going to be a number of new over-the-top services launched over the next 12 months, which should create some incremental demand. How are you thinking about meeting that demand? Is it – assuming it does materialize. Is it a situation where you can sort of expand your inventory to meet an increased amount of demand or is it something where your inventory from kind of a display basis would be somewhat fixed and you would expect to see the value through some pricing power there. And then second, in this shareholder letter, you called out sponsorship and the growth that you’re seeing there. Can you maybe give us an example of a successful sponsorship that you saw in the quarter, and maybe a little more detail on how that building – how it’s growing some frame of reference or how big that is and can be. Thanks.
Scott Rosenberg: It’s Scott here. With regards to your question about audience development we are excited to say the least about the coming services into OTT and believe that we are an essential platform for these new services, not just because of our scale, but because of the tools we’ve got to help these content partners build a big and vibrant audience on the Roku platform. We have a whole array of audience development ad products and capabilities starting from when you’re setting your Roku app to ads in the home screen featured placement in the channel store, email units, we recently launched a video ad unit that lets you drive a download off of a 30 second spot. And we continue to create new ad products like that to help our content partners build audience as they launch these services on the platform. We also continue to innovate in the backend technologies, machine learning technologies to better predict who is likely to subscribe to that service, which helps us not just deliver a better more efficient product to client, but being more efficient in our use of inventory and driving the results. In terms of your question about sponsorships, we’re very active in creating sponsorships throughout the Roku user experience. For example, around the Super Bowl, we had an experience with TurboTax where we showed users all the different ways that they could watch the big game. That’s just an example of a breakout experience we had sponsors in and around the national streaming day as another example. And one of the great opportunities for us as a platform where we own the home screen is that we can craft these [indiscernible] breakout experiences in partnership with the brand helping them meet their objectives in terms of the content that they want to be [indiscernible] up against and whatever their KPIs are. We just think at the end of the day for content partners and for brands that are leaning into advertising and OTT that we are an essential partner because of our scale and our data.
Michael Morris: Is there any direct response or interactivity that you provide or can provide in those sponsorship partnerships?
Scott Rosenberg: Yes, there are lots of new ad formats that we’ve been developing and testing. For example, the ability to fire an email or an SMS off of a video ad is an example, that’s an exciting rift on a traditional ad spot, bringing interactivity to a 30 second spot. Our sponsorship experiences have similar capabilities. We view interactive as still emerging capability for TV advertisers, it’s not a capability they have traditionally had, but it’s an exciting new dimension to be able to bring to TV advertising.
Michael Morris: That’s great. Thanks a lot.
Operator: Our next question comes from the line of Mark Zgutowicz with Rosenblatt Securities. Your line is now open.
Mark Zgutowicz: Hi, guys. It’s a couple of high-level questions. First on account, if you think about just $100 million so broadband only homes, which you’ll be solely closing in on close to 40% here over the next 12 months or so, I am curious, what you think about is addressable and obviously acknowledging Fire and Apple TV and sort of what that might imply in terms of the ceiling on your accounts, kind of growth. You’ve obviously had incredibly impressive growth over the last several quarters, but would be helpful your perspective there. Thanks.
Anthony Wood: This is Anthony. If you think the way I think about it is over the long run every TV shipped to a broadband United States is going to be a smart TV, is going to run a smart operating system, a licensed operating system. And it will come down – and so it will come down so things like devices, player role over time, it could be some long period of time, but over time it will slowly fade away and important because you’re TV will come with a great solution. And so, what it really comes down to over time is what’s the market share. So, I think the addressable market is every TV household, every broadband TV households, and then the question is what is our market share for TVs. And I think the contenders are, we’re number one and our lead is growing. Samsung has Tizen. And then there is Amazon and Android TV.
Mark Zgutowicz: Okay, thanks. And then maybe just a follow-up on hours, again pretty impressive growth that you’ve seen here now closing in on roughly four hours a day. I’m curious, a lot of your user sort of pull it a much higher hourly usage rate closer to five, six or even beyond that in terms of hours of viewing daily. So, I’m just curious, what is sort of keeping that number down is and whether new ads that you’re bringing in are sort of watching, I guess the number of sub that daily rate or if they’re above that average daily that you report. Thanks.
Operator: Our next question comes from Tim Nollen with Macquarie.
Steve Louden: Can we answer the last question there before we go to next?
Anthony Wood: I think hours for a particular user vary a lot, right. So, for example, cord cutters, what other, TV on Roku. Roku [indiscernible], it’s going to be a lot higher than 3.5 hours a day on average. And then you have then you have on the other hand you have customers that are just watching the occasional movie, but watch most of their cable on watch most of their TV with their pay TV subscription. But the trend we see is as more Americans cut the cord and as more content comes to streaming then the amount, of hours viewed through the streaming platform grows.
Steve Louden: Yes. And specific answer to your question, Mark, older cohorts continue to grow and engagement and each new cohort coming into the ecosystem is generally coming in at a higher level of engagement in the prior cohort.
Anthony Wood: And then on your third question where you asked about market share, we have a great chart in the shareholder letter this quarter that shows market share and how it changes.
Mark Zgutowicz: Okay, thanks. Thanks guys. I appreciate the color.
Operator: Our next question comes from Tim Nollen with Macquarie. Your line is now open.
Tim Nollen: Great, thanks. I’m hoping to get a bit more color on your international expansion, I gather, you’re not seeing a whole lot about it yet. But could you help us try to understand if it’s a bit more of a push on the player side or on the platform side, i.e. integrations with other TVs. My understanding is the market share of the OEMs that you’re not in the U.S. is lower in many other countries. Therefore, it might be a bigger opportunity for you to integrate with other OEMs. So, just any color you could give us maybe on the split between player and smart TV integrations and the opportunity on the OEM side, please.
Anthony Wood: This is Anthony. We really don’t have any more detail on international. We’re just not ready yet to reveal our plans for international expansion and how we expect that to work.
Tim Nollen: Alright. We have to make our own assumptions then. Thanks.
Operator: Our next question comes from the line of Shyam Patil with Susquehanna. Your line is now open.
Shyam Patil: Hi, guys. Thank you. I had a couple of questions. The first one on the Roku Channel, can you guys talk a little bit about just kind of where you are with ad load there relative to where you think it can be over time. And then second question is, I know you don’t guide too active accounts, but any way to kind of think about active accounts in second half, especially given the press reports suggesting that you guys had a very strong Prime Day? Just wondering if there’s anything to keep in mind there? Thank you.
Anthony Wood: We are pretty passionate about our low ad load on the Roku Channel. We think, it’s part of the recipe of delivering not just a better user experience with a more attentive user, but delivering a more impactful ad experience for marketers. So, we run at about eight-minute target ad load per streaming hour in the Roku Channel, and I think more so than what you’re suggesting lifting that ad load we’re much more focused on how do we deliver even better more effective ad products within that load. And I think we’ve made great progress on that.
Scott Rosenberg: Yes. And the biggest driver is just add TV dollars moving to streaming, that’s one thing like ad load and CPM.
Steve Louden: Yes. Hi, this is Steve. Number two, we don’t provide any outlook on any of the key operating metrics. But in terms of active accounts when we passed a great milestone in the quarter in terms of we passed 30 million active accounts for the first time, ending at $30.5 million and certainly we’ve seen continued robust growth in both Roku, TVs and players, and so we’ve been very happy with the increased scale that we’ve been building over time on the active accounts. As well as on the monetization side we hit another milestone as well with ARPU getting above $20. So, both the increasing scale and increasing monetization is progressing nicely.
Anthony Wood: Yes, I’ll just add, I mean our strategy is working. You can see it in the results and our strong execution Roku TVs are doing well and players are doing well.
Shyam Patil: Great. Thank you.
Operator: Your next question comes from the line of Rich Greenfield. Your line is now open.
Rich Greenfield: Hi. Thanks for taking the question. I guess from maybe if we just step back for a second, Anthony, you made a comment about as cord cutting picks up people spend more time streaming and I think that I think everyone probably on this call would totally agree with that. I guess what I’m curious about is as they stream more and as all of the apps that we see that are launched already this year, but we’re also, I think a lot of people are talking about how many apps are coming from major media companies over the next year? As people spend more time streaming, do they actually spend more time using more apps or is it really like a mobile phone where you tend to years the three or four apps that dominate 80%, 90% of your behavior. How lopsided is it even if you add apps you just tend to spend more in your favorites versus actually increasing the number of different apps that you use that’s question one and then two, you have that chart on market share, which is very helpful in the Investor letter, just curious when you lose a customer, when somebody walks into a Best Buy or a Walmart and buys a Fire TV or an Apple TV. What do you attribute the number one reason why you’re losing that customer to a competitor’s device?
Anthony Wood: Hi, Rick. It’s nice to hear from you, again. I would say on your app question, I think the big picture here is that we believe there is too many apps. I mean there’s thousands of apps on Roku and that’s hard for customers one of the strategies behind the Roku Channel, it’s also one of the reasons we think just in general, there is going to be some content consolidation in the industry. And so, for us our goal is to allow any publisher whether it’s a humongous content publisher or whether it’s a mid-size or a long tail to be successful on our platform. And one of the ways we’re doing that is allowing them to distribute their content to the Roku Channel where we provide a unified experience with machine learning and recommendations and so that eliminates the problems of the publishers that it’s hard to get viewership in their ad. In terms of why do we lose customers, I’m not really focused on that, I mean we’re focus mostly on getting more customers, third of a more active devices in the U.S., we’re ahead of all our competitors. We’re third more active devices and the number two player we are the number one streaming platform in the United States. So, we’re just focused on keeping our customers happy and bringing in more customers.
Rich Greenfield: And just to follow up on your first answer, because I think it’s really important when someone is making a trade-off. So, on the new NBC streaming app on Disney Plus, I am HBO Max and I’m going to market, the choice to just be in the App Store versus to be embedded in the Roku Channel, you obviously spoke to the benefit is there any things that the publisher is giving up or any reason why they wouldn’t want to be part of the Roku Channel versus simply being in the app store?
Anthony Wood: First of all, they don’t have to decide, we allow both. It’s pretty common so ABC News, for example, is a very popular brand in the Roku Channel. They also have their own app. What we find and whether they show that they get more streaming in the Roku Channel and it’s usually incremental. I think the main reason to not do an app is it’s just difficult to build audience, its expensive, it takes an R&D, it takes a direct to consumer experience including customer acquisition, churn reduction, it requires machine learning, it just requires a lot of expertise that are that is hard to build, and so that’s why we are seeing publishers increasingly up into using just the Roku Channel. The overall economics are going to be better for that.
Rich Greenfield: Thank you.
Operator: I’m showing no further questions in queue at this time. I would like to turn the call back to Mr. Wood for closing remarks.
Anthony Wood: Thanks. We had another very strong quarter and we are pleased with the outlook for the full year. The company is executing well, attracting outstanding talent and become stronger in fundamental ways. While we passed two big milestones in account growth and ARPU, we are still early in the far-reaching changes that will reshape how the world watches TV. Thanks again for your support and happy streaming.
Operator: Ladies and gentlemen thank you, for your participation in today’s conference. This concludes the program and you may now disconnect. Everyone have a great day.